Operator: Good morning, and welcome to the Olin Corporation First Quarter 2019 Earnings Conference Call. [Operator Instructions]. Please note, this event is being recorded. I would now like to turn the conference over to Logan Bonacorsi, Olin's Director of Investor Relations. Please go ahead.
Logan Bonacorsi: Good morning, everyone, and thank you for joining us today. Before we begin, let me remind you that this presentation, along with the associated slides and the question-and-answer session following our prepared remarks, will include statements regarding estimates of future performance. Please note that these are forward-looking statements and that actual results could differ materially from those projected. Some of the factors that could cause actual results to differ from our projections are described without limitations in the risk factors section of our most recent Form 10-K and in yesterday's first quarter earnings press release. A copy of today's transcript and slides will be available on our website in the Investors section under Past Events. The earnings press release and other financial data and information are available under Press Releases. With me this morning are John Fischer, Olin's Chairman, President and Chief Executive Officer; Pat Dawson, Executive Vice President and President, Epoxy and International; Jim Varilek, Executive Vice President and Chief Operating Officer; John McIntosh, Executive Vice President, Synergies & Systems; and Todd Slater, Vice President and Chief Financial Officer. We will begin with our prepared remarks, and thereafter, we will be happy to take your questions. I will now turn the call over to John Fischer. John?
John Fischer: Thank you, Logan, and good morning, everyone. During this morning's call, I will begin by discussing the key highlights from Olin's first quarter followed by a detailed review of each of our business segments, Olin's view on near-term and longer-term market dynamics, and I'll close with the outlook for the balance of the year. With that, let's turn to Slide 3. During the first quarter, Olin recorded adjusted EBITDA of $270.1 million, overcoming several challenges during the period. This level of adjusted EBITDA represents a more than 12% improvement over the first quarter of 2018, a period where caustic soda pricing was much stronger and represents the highest first quarter level of adjusted EBITDA since the acquisition of Dow's chlorine products businesses. The year-over-year decline in caustic soda pricing negatively impacted first quarter 2019 adjusted EBITDA by approximately $70 million compared to first quarter 2018. In addition to the continued pressure on caustic soda prices during the first quarter, we experienced lower-than-expected demand for merchant chlorine, chlorinated organics and epoxy resins. Late in the quarter, we also experienced shipment delays predominantly for ethylene dichloride and caustic soda due to the Houston Ship Channel issues. On the positive side, the contribution from the chlorine and chlorine derivative portfolio and the overall cost performance of the businesses improved significantly year-over-year doing a simple roll forward from the first quarter 2018 adjusted EBITDA of $240 million to the first quarter of 2019 adjusted EBITDA of $270 million. Caustic soda pricing was lower and reduced adjusted EBITDA by approximately $70 million. Partially offsetting this was lower turnaround expenses of approximately $60 million, which suggests a first quarter 2019 adjusted EBITDA of $230 million. The $40 million difference between the roll forward and the actual was the additional contribution from the chlorine and chlorine derivative portfolio and improved cost performance. This is encouraging for the long term. During the quarter, we repaid approximately $50 million of debt, which puts us on our way to achieving our 2019 debt reduction target of $250 million to $300 million. In addition, we've repurchased 600,000 shares of Olin's common stock for $13.2 million. Looking ahead to the balance of the year, we expect the fundamentals in our primary markets to improve as we move through the year. I plan to discuss our outlook for the second quarter and the balance of the year in more detail in just a few minutes. Now moving to our business segments, starting with Chlor Alkali Products and Vinyls on Slide 4. First quarter 2019 adjusted EBITDA for the Chlor Alkali Products and Vinyls segment was $240.2 million. While adjusted EBITDA was nearly flat year-over-year, first quarter results reflect the impact of significantly lower caustic soda pricing in Olin's system. Caustic soda demand was weaker than we expected. Offsetting the pressure from caustic soda markets, Olin achieved improved pricing for chlorine and most chlorine derivatives during the period. Ethylene dichloride was a particular bright spot in the quarter as pricing doubled year-over-year. Lower maintenance turnaround costs year-over-year favorably impacted adjusted EBITDA for the Chlor Alkali Products and Vinyls segment. Now let's take a closer look at caustic soda pricing on Slide 5. During the first quarter, caustic soda pricing continued to decline with prices in Olin's system declining 9% sequentially from the fourth quarter 2018. The largest part of this decline was in the export market. We feel that caustic soda pricing appears to be nearing a bottom. We expect caustic soda pricing to begin to improve as the second quarter progresses, and we also expect further recovery of caustic soda pricing during the second half of the year. In the second half of the year, we expect short-term lingering demand dislocations to ease and demand to be seasonally stronger. At the same time, we expect significant planned maintenance outages across the globe to limit available supply over the next several months. Together, these factors should result in price improvement in the second half of the year. We also expect the positive pricing trends experienced in the first quarter in our chlorine derivative portfolio, including merchant chlorine, bleach, hydrochloric acid, ethylene dichloride and chlorinated organics, to continue through the balance of 2019. Let's now move on to the performance of our Epoxy segment, which is on Slide 6. During the first quarter 2019, Olin's Epoxy business generated adjusted EBITDA of $37 million, representing a significant improvement over the first quarter 2018. Driving this improvement were lower maintenance turnaround costs, along with more favorable cost for raw materials, benzene and propylene, which declined in the United States by 38% and 28%, respectively. These positive drivers during the quarter worked to more than offset weaker-than-anticipated volumes, driven primarily by lower end use demand from automotive-related customers and Asian customers as well as lower epoxy resin prices, which declined in conjunction with the lower raw material costs. Looking ahead to the second quarter of 2019 in the Epoxy business, we expect results to be roughly in line with the first quarter. Higher planned turnaround costs and ongoing sales volume risks associated with the ITC terminal storage fire in Houston will likely offset the expected positive impact of increases in product pricing and a seasonal uplift in demand. Finally, we continue to believe we will see improved full year performance, driven by lower turnaround costs from the Epoxy segment in 2019. Looking now at the epoxy resin prices, which are shown on Slide 7. During the first quarter, pricing for liquid epoxy resins retraced modestly as a result of declines in raw material input costs, primarily benzene and propylene. Global resin prices have shown recent signs of improvement with modest increases during March of 2019. We believe that expected global maintenance turnarounds during the second quarter should tighten epichlorohydrin supply, resulting in an improvement in global liquid epoxy resin pricing. Our view of the chlor alkali and epoxy markets is on Slide 8 and is consistent with the outlook that we presented at our Investor Day in mid-February. Olin remains positive about the long-term prospects for both of its chemical businesses. In the chlor alkali sector, demand growth is occurring on both sides of the ECU. To date, there have been minimal global capacity additions and announcements of additions to meet this growing demand. Current industry economics do not support world-scale chlor alkali capital investments. As a result, supply and demand balances will continue to tighten, creating upward pressure -- excuse me, upward pricing momentum for Olin's caustic soda and chlorine and chlorine derivative products. Similarly, in the Epoxy business, we see steady global demand growth and minimal announced capacity additions. This positive landscape provides a solid platform and favorable business outlook for Olin's chemical businesses. Moving on to our Winchester business on Slide 9. The Winchester segment experienced an 8% decline in sales when compared to the same quarter last year, which contributed to an 18% decline in adjusted EBITDA for the quarter. This decline reflects a lower level of military sales due to contract timing. Lower commercial pricing and a less favorable product mix were also factors in the first quarter decline. These were partially offset by more favorable commodity costs. As the year progresses, we expect to see an improvement in both commercial and military sales volumes, which should lead to a stronger overall performance during the balance of the year. We expect Winchester's results for the full year to approximate those achieved in full year 2018. Looking ahead in Winchester, we believe the individual consumer inventory levels remain elevated, which could pressure commercial demand in the near to intermediate term. However, consumer ammunition usage and participation fundamentals appear to be solid, which should translate into an improving demand picture over time. In addition and of note, the large majority of Winchester's 2019 expected military and other government sales are already under contract. Turning now to our second quarter 2019 outlook, which is on Slide 10. As indicated, we expect our second quarter 2019 adjusted EBITDA to be lower than that achieved in the first quarter 2019. First, we expect second quarter caustic soda prices to be sequentially lower than the first quarter. The forecasted year-over-year decline in caustic soda pricing is expected to negatively impact second quarter 2019 adjusted EBITDA by approximately $100 million compared to the second quarter of 2018. Second, we expect sequentially higher costs of -- turnaround costs of approximately $40 million in the Chlor Alkali and Epoxy segments combined in the second quarter 2019. The second quarter of 2019 is forecast to have the heaviest turnaround schedule of the year. The turnaround schedule will also serve to reduce second quarter production. Finally, the lingering impacts of the ITC storage terminal fire in the Houston Ship Channel could impact epoxy volumes in the quarter. Looking now to our full year outlook on Slide 11. Before I turn the call over to Todd, I would like to say that while pressures in the caustic soda markets have persisted for longer than we anticipated, we believe that an inflection point is approaching. As a point of reference, Olin's first full year 2019 outlook for adjusted EBITDA assumes taking into account another -- a number of other variables. Caustic soda prices in the second half of the year to average between $50 and $70 per ton more than our current second quarter caustic soda price forecast. The other variables include full year volumes for all chemical products, continued positive pricing for chlorine and chlorine derivatives, including epoxy and overall cost performance. We remain confident in the long-term supply and demand fundamentals for caustic soda, chlorine derivatives and epoxy products, which will provide Olin with meaningful growth opportunities and enable us to generate substantial value for our shareholders over the long term. Now I would like to turn the call over to Todd Slater, Olin's CFO.
Todd Slater: Thanks, John. Before turning to our 2019 cash flow outlook, we have increased our forecast for full year 2019 expenses for environmental, investigatory and remedial activities by $20 million. Olin now expects agency action in 2019 regarding environmental, investigatory and remedial activities at the legacy manufacturing site, which will cause us to increase our environmental reserves this year. Now let's turn to our 2019 cash flow forecast, which is on Slide 12. We expect to generate approximately $475 million of cash flow in 2019. Our top priority for cash flow remains debt reduction. At the end of the first quarter, Olin's net debt-to-EBITDA leverage ratio was 2.4x. As John mentioned, during the first quarter of the year, we prepaid approximately $50 million of debt, and we are targeting $250 million to $300 million of total debt prepayments in 2019. Starting with our full year adjusted EBITDA forecast, which is on the far left of the waterfall chart. We deduct $90 million in estimated cash tax payments. We are forecasting our cash tax rate will be in the 25% range for the year. Cash taxes in 2019 are expected to be higher than 2018 by approximately $40 million as Olin has exhausted the tax credit carryforwards that were created with the 2015 acquisition. Column 3 reflects the midpoint of our current forecast for capital spending of $400 million, which includes annual maintenance capital spending of between $225 million and $275 million and the investment associated with our multi-year information technology integration project of approximately $80 million. As we've previously discussed, in 2017, we began a multi-year project to implement a new enterprise resource planning, manufacturing and engineering systems across the heritage Olin and the acquired Dow chlorine products businesses. This project includes the required information technology infrastructure. Now turning to the fourth column. We are expecting a $20 million increase in working capital in 2019 as we expect a lower level of receivables sold under our factoring program, which should lower our interest costs. In the next column, onetime items include information technology integration costs and cash restructuring costs of approximately $80 million. This includes $40 million for the IT integration project that I just spoke about and approximately $25 million of duplicate IT costs being incurred during the transition. These costs were partially offset by $20 million of pretax proceeds from the sale of an investment in a nonconsolidated affiliate during the first quarter. The next column represents an estimate of cash interest expense. We currently have approximately 30% of our debt at variable interest rate, and we are forecasting 2019 interest rates will be slightly higher than those we experienced in 2018. In the far right column, we are forecasting $475 million of cash flow. We will continue a balanced and disciplined approach to capital allocation by investing in our businesses, deleveraging the balance sheet and returning cash to our shareholders through dividends and share repurchases. Finally, on Thursday, April 25, Olin's Board of Directors declared a dividend of $0.20 on each share of Olin common stock. The dividend is payable on June 10, 2019, to shareholders of record at the close of business on May 10, 2019. This is the 370th consecutive quarterly dividend to be paid by the company. Operator, we are now ready to take questions.
Operator: [Operator Instructions]. Our first question comes from Don Carson with Susquehanna Financial.
Donald Carson: John, in the past on your guidance, you used to put some percentage ranges around in terms of what you saw as the percentage upside and downside opportunities. How would you characterize that currently?
John Fischer: Well, I think we said more downside than upside. I would say that the downside is probably in the 5% to 7% range.
Donald Carson: Okay. In your caustic price assumption, you said you're assuming $50 to $70 per ton increase in the second half. Is that what you expect average pricing to be in the second half versus the first half? Or is that just the increases in the index you're seeing at some point in time? I know IHS doesn't have any increases in their forecast until the October time frame.
John Fischer: That is what we would expect to average in the second half above our second quarter level.
Donald Carson: Okay. And then, finally, you talked about some of the logistical constraints around ITC outage both in terms of delayed shipments out of the Ship Channel and raw material availability. Can you quantify what the impact of that overall was in the first quarter? What you expect it to be in the second quarter?
John Fischer: It was approximately $6 million in the first quarter. I don't think we have an idea yet what it might be in the second quarter.
Operator: Our next question comes from Neel Kumar with Morgan Stanley.
Neel Kumar: The 9% sequential drop in Olin's realized caustic price in the first quarter seems a little bit of closer to the decline in the spot market versus the contract market. So I was just curious if you can help me understand it a little bit more. And is the business more oriented to the spot market over the last few years?
James Varilek: Neel, this is Jim. No, there's not any more orientation towards the spot market. As you know, the spot market's relatively thin. We had some carryover of the fourth quarter reductions in the indexes and so forth. They carried through the first quarter. And I wouldn't say that that's any more than directionally consistent between the export and the contract side of things.
Neel Kumar: That's helpful. And I noticed that you had a $11 million negative cash flow impact in the first quarter from inventory build. Was that driven by the closure of the Houston Ship Channel and should that itself correct in the second quarter?
John Fischer: No, it was mostly driven by Winchester, which typically builds inventory early in the year in advance of a mid-year sales to support the fall hunting season.
Operator: Our next question comes from Frank Mitsch with Fermium Research.
Frank Mitsch: Appreciate the color and the assumptions on caustic. One of the things we saw in the first quarter is you saw Europe export bit of caustic to the East Coast. And obviously, they had shut down our mercury cell capacity a while ago. I was just curious how surprising that might have been to you guys. And do you think that might be a factor in the future? How are you thinking about that, particularly as it may impact your ability to raise prices on caustic?
James Varilek: Frank, this is Jim. I think it's really representative of kind of the demand situation that's going on in Europe. Obviously, they've had weak economies and so forth, and it frees up a little bit of product. We would not expect that to be -- we would not expect that to be a long-term trend. In fact, we expect Europe over time to be a net importer, and that's what we've seen. So we've got a temporary dislocation, I think, as they get through the construction season early in the year that they had some additional product and they moved it. But I would not expect that to be a long-term trend.
Frank Mitsch: So Jim, you anticipate in the back half of this year that we would not be seeing anywhere near those levels of exports out of Europe?
James Varilek: That's correct.
Frank Mitsch: All right, terrific. And I'd seen -- obviously, in the first quarter, there was a class action suit filed. I don't know any of the 5 plaintiff companies that were part of that lawsuit. How do you guys think about how much of an overhang this might be in terms of timing and any other comments that you can offer on that?
John Fischer: We're not going to offer very much. I would just say that we're generally very committed to compliance with all laws, including the important area of antitrust, and we strongly disagree with the assertions.
Frank Mitsch: All right. That's very helpful. And lastly, you mentioned that pricing was down 9% sequentially on caustic. Did you provide a year-over-year number in terms of what your caustic realizations were down?
John Fischer: We just said that the pricing itself was down $70 million year-over-year.
Operator: Our next question comes from Jeff Zekauskas with JPMorgan.
Jeffrey Zekauskas: In the second quarter, have you seen any upward movement in caustic prices in any key areas?
James Varilek: Jeff, this is Jim again. We actually have seen some movement on the export pricing, which gives us encouragement that we're going to see an inflection point here. The export pricing did move both on the high and the low side of things. And so the -- we're also seeing improvement in demand as well. And not in the United States, but in Latin America, the markets turned very tight for a number of reasons. Demand is strong in Latin America and pricing is moving to the upside in Latin America.
Jeffrey Zekauskas: And then as my follow-up, how large is the gap between domestic caustic contract pricing and the export price now?
James Varilek: I think that we're not going to -- we don't give any specific contract pricing...
Jeffrey Zekauskas: Right. Or for the industry?
James Varilek: Yes. What I would say I think the easiest way to say that is that the export pricing is still a downward -- is still downward to the contract pricing. And I think we've got some slide in there showing the contract and export pricing. So the dynamics have changed earlier or all through the last year. Obviously, export pricing was above. Now export pricing is below. We are seeing that bit of an inflection point. So we would expect to start to see upward movement frankly on both sides.
Operator: Our next question comes from Kevin McCarthy with Vertical Research Partners.
Kevin McCarthy: A question on EDC. On Slide 16, you indicate that EDC pricing was flat in the first quarter versus the fourth quarter of '18. And it surprised me a little bit. Some of the external vendors seem to indicate steady upward progress as the first quarter progressed, and your commentary seemed constructive. So I was wondering if you could kind of talk through that. Not sure if the slide is meant to reference your own pricing or perception of market pricing. What is your assessment of the outlook as well for EDC?
James Varilek: Well, I think you kind of have to -- we have to step back on the EDC market and just say that, in general, that's been -- it's been very positive. I mean, on a year-over-year basis, prices have more than doubled. The fact that they stayed at the levels that they were between fourth quarter and first quarter is a positive. As you know, EDC has been under a bit of pressure. And I think it's indicative of the fact that there's broader requirement on the EDC around the world demand, and it's coming from many different areas now. And it's -- that's indicative of the fact that EDC pricing is held at the high levels that it's at.
Kevin McCarthy: Okay. But you don't lock in prices in advance that would cause that arrow to be flat?
James Varilek: No.
Kevin McCarthy: Okay. And then second question, if I may, on epoxy for Mr. Dawson. I was wondering if you could just kind of talk through the explosion in Jiangsu, China and opine as to whether or not that has any effect on epichlorohydrin, either regionally. I know you don't do a ton of business in epoxy in Asia. But I was just wondering if there's any lasting impact on other regions or rather just a transitory effect in the market.
Pat Dawson: Yes, Kevin. That was -- that explosion occurred back in, I think, it was March, and it was significant. We think that it took out close to 30%, 40% of the capacity in China. I think the other thing you may recall from our Investors Day is that there's really no material quantity of epi that comes outside of China into other parts of the world. So I don't think we'll have a big impact. On the other hand, I think, the bigger impact here on epoxy is just the fact that demand in China has been very sluggish, and automotive demand globally has been very sluggish. So I think that has probably put a little bit more of a damper on pricing here in the first quarter. Although the operating rates of epi outside of China have also tightened due to turnarounds and various events. So we think that the tightening of epi outside of China and the fact that epi has been reported to go up, it's been up about $100, $150 a ton here in the last few weeks reported by ICIS and Tecnon, that probably is what bodes best for these price increases throughout there for the second quarter.
Operator: Our next question comes from Matthew Blair with Tudor, Pickering, Holt.
Matthew Blair: John, you mentioned that you're seeing weaker caustic demand than expected and just hoping you could provide any more color here. Is this primarily due to Alunorte impacts rolling through? Or are there other areas like pulp and paper or textiles where things seem pretty weak as well?
James Varilek: Matthew, this is Jim. I think the comment was relative to the first quarter. And I think, in general, there is a kind of an economic pullback, if you will, and it affected demand during the first quarter. There were a lot of -- also a lot of one-off events that took place, I would say, river system flooding and things of that nature, that has a tendency to cause some customer problems and so forth. So that's really where the weaker demand came from. And since that time, we are seeing an improvement in demand. We're seeing a pickup here as we head into the second quarter on demand. So that was a first quarter comment.
Matthew Blair: Got it. And then I guess circling back to epoxy, I think, you're net long in areas like BPA and epi, and I believe there's a force majeure in BPA right now. So would that -- do you see that as a tailwind for your Epoxy business or would you need to see the liquid resin prices move up before you realize any benefit there?
Pat Dawson: Yes. I think the main benefit here on BPA is going to come from China picking up. It's -- a lot of the BPA and polycarbonate capacity, of course, is in China. So I think that'll be a better indicator of seeing some momentum on BPA. Most of our BPA is captively consumed to make liquid epoxy resin. So we're not a merchant market player in BPA.
Operator: Our next question comes from Jim Sheehan with SunTrust.
James Sheehan: On your $50 to $70 per ton price realization in the second half, how much of that will be coming from the elimination of contractual price discounts?
John Fischer: None of that, Jim.
James Sheehan: So are you expecting to have any benefit from eliminating those discounts?
John Fischer: Well, we said at the end of the fourth quarter in our call that we expected to realize $40 million in contractual change benefits from both chlorine and caustic soda throughout the year.
James Sheehan: Terrific. And on the Houston Ship Channel impacts, did you see any shift of sales out of the first quarter into the second quarter due to the traffic congestion? Just wondering why you were still expecting a negative impact in the second quarter from the Ship Channel traffic.
John Fischer: We saw shipment delays that were -- had a value EBITDA impact of about $6 million. The reason that we see potential impacts is that we make use of some of those terminals to supply some of our customers in the Deer Park area. And those terminals that they can't be used, we don't have a way to get product to the customer.
James Sheehan: Got it. And on the Jiangsu issues in China, did that explosion result in more safety inspection activity that might help tighten up the chlor alkali chain in China?
John Fischer: I would say we are not aware that it has done anything to tighten up the chlor alkali chain itself. I would tell you from -- it has created a significant amount of inspections. I mean, we have an epoxy resin formulation plant there that has been inspected three times just this month or just in the month of April.
Operator: Our next question comes from Steve Byrne with Bank of America.
Steve Byrne: There's a recent EDC and caustic tender out of Brazil that has led to speculation of a large chlor alkali outage down there. Do you have any comments on that and/or think that, that could drive some strength in pricing?
James Varilek: Well, we have seen strength -- first of all, there's general demand improvement in Latin America because it's ethanol season and so forth. And pulp and paper is strong in Latin America in general. We have heard of issues. And whether it's temporary or long term, we don't know just yet. But we've seen the same thing that you're seeing in terms of request for both caustic and EDC.
Steve Byrne: And you mentioned just a few moments ago about river flooding leading to presumably delayed shipments. Is that just simply a deferral from first quarter into second quarter?
James Varilek: I think it's just -- it's really more of a complication of doing business. For example, barges that ship from one of our plants to a terminal location that would normally take three weeks took over two months to get there. So it's just congestion. So yes, there will be some carryover, but I don't think that it's a material amount of product.
Steve Byrne: Okay. And just one more on this. On this $50 to $70 net realized price increase second half versus second quarter, to achieve that net realization benefit, would you expect that spot export price to rally above North American contract pricing in order to achieve such a net realized price increase?
John Fischer: I think what we would expect is we would expect improvements in all elements of the caustic soda price, domestic and export.
Operator: Our next question comes from Mike Sison with KeyBanc.
Michael Sison: In terms of the downside scenario of 5% to 7%, does that assume no improvement in caustic pricing in the second half from 2Q levels?
John Fischer: No. I don't think we see a scenario where there will be 0 caustic soda improvement from where we are forecasting the second quarter to be.
Michael Sison: Okay. And then when you think about the price increase you're looking for, how much of that do you think will be driven by the sequential improvement in demand versus kind of supply coming down a little bit or outages or whatever?
James Varilek: Yes. I think there'll be a confluence as most of the time an inflection point of pricing is that there will be a confluence of events. I think that as I mentioned earlier, we are seeing improved demand domestically. We're also seeing demand improving on the export side of things. Latin America, in particular, is strong. So I think you've got an improving demand scenario. You also are still in the midst of turnaround season. There's a significant amount of capacity that has been offline. Some is still offline and will continue to be offline, and that's a global phenomenon. There's a number of turnarounds around the world in Asia, in the Middle East and in North America. We just talked about the situation in Latin America. So it'll be a combination of demand and the supply limitations that we have that will trigger -- probably triggering an inflection point.
Operator: Our next question comes from Mike Leithead with Barclays.
Michael Leithead: So a bit of a technical question on the full year guidance. If I look at it, it seems to imply second half is about $200 million or so better than the first half in EBITDA. And if I look at your embedded assumptions, $60 caustic is, call it, $90 million of EBITDA, I'm assuming ethane is a second half headwind based on industry prices and environmental should be up in 2 half. So can you help me bridge to that $200 million better second half because I'm kind of coming up way short there.
John Fischer: If you look at the performance of Olin over the last 3 years, which is the period of time we've owned the Dow assets, we've typically generated roughly 41% to 42% of our EBITDA in the first half and the balance in the second half. There is a significant difference volume-wise between first half and second half every year. And that is a big contributor to how we could generate the kind of half step-up first half to second half.
Michael Leithead: So it's mostly volume-driven. Is it evenly driven between volume and price or mix or how do you think about that?
John Fischer: I would say it's a combination of volume and price. Just don't underestimate the volume impact.
Michael Leithead: Got it. And then just bigger picture chlor alkali...
John Fischer: Hold on one second, Mike.
Todd Slater: Price isn't just caustic soda. Remember, epoxy pricing is moving up. We would expect chlorine and the chlorine derivatives pricing to continue to improve. So I know caustic soda is a big number out there that we talked about, but there's a lot of other -- the chlorine and chlorine derivatives we would expect to continue to improve as well.
Michael Leithead: Okay. And then maybe just a bigger picture chlor alkali question. I think a lot of smart people have been expecting caustic prices to rise over the past 6 to 9 months, and they've been wrong, myself included. So when you triangulate the supply/demand balances over the past few quarters, A, what do you think they've been wrong on? And B, what gives you conviction that 2Q is now the correct turning point?
James Varilek: This is Jim. I think it's not a matter of smart people. I mean, picking the timing of any particular movement is a difficult thing to do when you have economic backdrop that -- and worldwide demand and so forth. But then you also have what I'll call some of these lingering onetime events, how quickly was the Bureau of Industry Standards going to do recertifications to reinstill the trade flows that are throughout Asia and supplying India and how quickly the government in Brazil was going to move the process forward relative to Alunorte. Those are difficult things to call. And with some additional events that took place in Latin America, it's delayed those things out. So I think it's a combination of those factors, and I don't think it's the fact that anybody missed the mark. I think it's a matter of -- it's hard to predict some of these events that have subsequently taken effect. Now things have moved forward with the Bureau of Industry Standards, and there are positive steps on Alunorte and demand is improving. So we've got those things moving forward, and it gives us a much better indication of when the inflection point might occur, and we expect prices to be moving in the second quarter.
Operator: Our next question comes from Eric Petrie with Citi.
Eric Petrie: A question for Jim. What's your latest market intelligence on outages because I believe it's supposed to be a little lighter than the past couple of years? So what demand drivers or supply interruptions do you see for a turnaround in spot pricing in the caustic soda market?
James Varilek: Yes. I don't think that it's that significantly different than any other period of time in terms of the outages whether it's a matter of which month they're in. So I don't see any difference in terms of -- a dramatic difference in terms of the turnarounds that are taking place.
Eric Petrie: Okay. And then, secondly, I calculate about a $10 million headwind in the first quarter from higher ethane prices, and they've trended lower to low $0.20 per gallon range. So do you care to quantify or forecast what the net impact will be in 2019?
Todd Slater: This is Todd. We would expect ethane to be volatile as we move forward. I think last year, ethane in our system probably averaged in the $0.32, $0.30 -- $0.32, $0.33 range. We would expect this year to probably be in that range. If it stays low, obviously, that would be a positive for cost. I think that we are hedging ethane, so we won't necessarily trend exactly with the spot numbers that you see. But we would expect ethane to be relatively flat year-over-year now, maybe a slight positive as we look for the full year.
Operator: Our next question comes from Arun Viswanathan with RBC Capital Markets.
Arun Viswanathan: Just a quick question on guidance. So could you remind us what you're assuming, I guess, as far as year-on-year benefits from improvements in the chlorine envelope?
John Fischer: We didn't say specifically chlorine envelope. We said that the contract rollover impact was $40 million, which comes from both caustic and chlorine. We haven't given any guidance on what we expect the benefits from better chlorine pricing and chlorine and chlorine derivative pricing in the market is, other than we gave the illustration in the remarks that it's significant.
Arun Viswanathan: Okay. And then assuming that Q2 is below Q1, it seems that you would need maybe $650 million or $700 million of EBITDA in the second half. The reason I asked the chlorine question, I guess, is just to better understand the caustic assumption as well. Looks like there could be the opportunity for some pricing of $50 or more in Q3. If you get that late in the quarter, just wanted to understand how quickly you think that would impact your results. And would it help you kind of bridge to that level of second half EBITDA in that $650 million to $700 million range?
John Fischer: If we got $50 late in the second quarter, we would be in a position to have that help us bridge to the full year guidance.
Arun Viswanathan: Okay, great. And lastly on epoxy, I guess it looks like the -- how would you characterize volume and margin there? I mean, is volume kind of still the weak spot and margins have improved? And then how do you see that, I guess, progressing through the year, given pricing in raws?
Pat Dawson: Yes, Arun, this is Pat. Listen, the big issue is really the volume and the demand, as I indicated earlier, around China and Asia in general being very sluggish. Europe is fundamentally moving kind of sideways on epoxy demand. Probably the brightest spot is here in the U.S. and being driven by oil and gas. So as we said in our comments, our prices in raw materials came down in lockstep. So our margins actually are stable. And the item that's going to really help us in the second half here is the seasonality kicking in for the coatings market, demand improving and then as mentioned earlier, getting some pricing tractions, which we're seeing here as we are well into the second quarter.
Operator: Our next question comes from John Roberts with UBS.
Joshua Spector: This is Josh Spector on for John. Apologize if you've said this earlier in the call, but in terms of 2Q caustic price realization, have you explicitly said what you expect the price realization to be on a delta basis sequentially into 2Q?
John Fischer: We have not. All we said was that the impact of caustic soda pricing on adjusted EBITDA year-over-year from the second quarter last year to the second quarter this year is about $100 million.
Todd Slater: We expected caustic to be down in Q2 from Q1.
Joshua Spector: Yes. I guess what I'm curious is that so obviously with your contract structure and the lag, you have a pretty good view on that. I guess I should do the calculation myself in terms of what it's going to be 2Q, not able to provide percent or dollar amount decline sequentially.
John Fischer: No, we didn't do that, and we're not going to do that.
Joshua Spector: Okay. One more then. Just on the turnaround costs between the CAV segment and Epoxy, can you provide a rough split between the segments?
James Varilek: Yes. That's in the appendix, Slide 22.
Operator: Our next question comes from Hassan Ahmed with Alembic Global.
Hassan Ahmed: You guys paid down $50 million in debt in Q1. And in one of the charts, you talked about reiterating your commitment to pay down $250 million to $300 million in 2019. My question is that if the downside risk to guidance you talked about does transpire, call it, you get like a $90 million EBITDA hit, even in that scenario, it seems that you will have ample free cash, call it, roughly around $400 million. So is it fair to assume that if that downside scenario does transpire, you'll still go ahead and pay down $250 million to $300 million in debt?
John Fischer: That is a very good assumption, yes.
Hassan Ahmed: Okay, fair enough. Now going on to the turnaround side of things. On Chlor Alkali Products, the chart you provided was very helpful. $176 million of sort of peak-ish turnaround costs going down to $125 million this year. On Epoxy, $66 million going down to $30 million. Just wanted to get a sense of what these run rate sort of the turnaround costs would look like post-2019 in a normalized environment.
John Fischer: I would say that 2018 was on the high side because we had a once-every six year Epoxy turnaround. I would say 2019 is probably a little bit below average because next year, in 2020, we have a large outage on our VCM plant. So I would say if you wanted a steady run rate, I would be somewhere between what you saw in '18 and what you're going to see in '19.
Operator: Our next question comes from Aleksey Yefremov with Nomura Instinet.
Aleksey Yefremov: I'm trying to bridge Chlor Alkali segment in the second quarter and thinking providing year-over-year caustic soda impact of negative $100 million. So if we start with $290 million last year minus $100 million, there are some positive offsets as well, right, lower maintenance, about $20 million and higher EDC prices, lower ethane prices. Should we think about maybe $50 million year-over-year negative EBITDA variance? But at the same time, it feels like Chlor Alkali should be down sequentially. So I'm just trying to reconcile those 2 views. How do you think we should think about that?
James Varilek: We haven't provided specific guidance, Aleksey, by each of the divisions. But I think at a very high level this year versus last year, you had $325 million and then you take $100 million off for caustic soda. Turnarounds overall are slightly favorable, and that gets $10 million to $15 million. That puts you in the $240-ish million range, maybe plus or minus a little bit. And you talked about improvement. Now remember, year-over-year improvement for -- in particular, EDC will not be nearly as beneficial as it was in Q1 because EDC was improving throughout 2018. So I think one of the bridge comments you made probably were overstating some of the benefits associated with the year-over-year change in chlorine and chlorine derivatives.
Aleksey Yefremov: Understood. Is there a freight impact or other fixed costs year-over-year that we should think about?
James Varilek: Freight continues to rise. We've seen freight costs rate increases that's still in that 10% range.
Aleksey Yefremov: And the lower receivables sold this year, the working capital that you talked about, is this a deliberate action to reduce interest costs or something else is driving this?
James Varilek: No, it's intentionally find ways to reduce cash interest expense.
Operator: Our next question comes from Karl Blunden with Goldman Sachs.
Karl Blunden: On the epoxy side, you mentioned some optimism there on seasonal demand picking up as you get to the rest of the year. I think I may have missed it, but did you discuss your views on channel inventories and the extent to which a destock, restock cycle might help as well like what we're seeing in TiO2 with that destocking there starting to pass?
Pat Dawson: Karl, this is Pat. We thought a lot of the destocking occurred at the end of last year and beginning of this year. I don't know that there's a big destock opportunity in front of us unless it could be in China. We don't have any indicators of that right now and anything positive coming out of that part of the world. I would say bottom line is seasonality is definitely helping as we go into Q2. And the other thing that's helping, of course, is this tight epichlorohydrin market that we see outside of China.
Karl Blunden: Got you. And then maybe a little early to tell here. On the Hexion restructuring, any changes to the market environment you anticipate as that plays out?
Pat Dawson: I think it's too early to tell. Right now, I would assume no change.
Operator: Our next question comes from Roger Spitz with Bank of America.
Roger Spitz: What percent of your caustic are you or did you export in Q1? Is it -- I know the last time I think, I saw in the notes, it was around 24% of sales, I think you once said. And has it changed material over the past couple of quarters?
James Varilek: 20% to 25% is what we've said in the past is the normal range for export volume, and it's not materially changed, no.
Roger Spitz: Okay. What are the main regions or countries that you export to?
James Varilek: Well, what I would say is that there's a lot of product that moves from North America to Latin America. That becomes -- that's a very important trade lane from an industry standpoint, also from an Olin standpoint. But we're not limited in where we export product but that would be a significant one for Olin.
Roger Spitz: One last one and this one and that's it is we've heard some others that the U.S. had been importing into Europe. Have you seen that or know of that?
James Varilek: Yes. There is movement. And to the earlier question, there is some export out of Europe but there's a lot of import out of Europe. And I think I would say that over the last 8 to 12 months or so, that's been -- more of the primary movement has been out of the U.S. into Europe as opposed to out of Europe into the U.S. So that's been the primary channel, yes.
Operator: As there are no further questions, this concludes our question-and-answer session. I would like to turn the conference back over to John Fischer for any closing remarks.
John Fischer: Yes. I'd like to thank everybody for participating today, and we look forward to talking to you about our second quarter results in a few months. Thank you.
Operator: The conference has now concluded. Thank you for attending today's presentation, and you may now disconnect.